Operator: Good morning. Welcome to MarineMax, Inc. Fiscal 2024 First Quarter Conference Call. Today's call is being recorded. [Operator Instructions]. At this time, I would like to turn the call over to Scott Solomon of the company's Investor Relations firm, Sharon Merrill. Please go ahead, sir.
Scott Solomon: Good morning, and thank you for joining us. Hosting today's call are Brett McGill, MarineMax's President and Chief Executive Officer; and Mike McLamb, the company's Chief Financial Officer. Brett will begin the call by discussing MarineMax's operating highlights. Mike will review the financial results, and then management will be happy to take your questions. The earnings release and supplemental presentation can be found at investor.marinemax.com.  With that, I'll turn the call over to Mike.
Michael McLamb: Thank you, Scott. Good morning, everyone, and thank you for joining this call. I'd like to start by reminding you that certain of our comments are forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Any forward-looking statements speak only as of today. These statements involve risks and uncertainties that could cause actual results to differ materially from expectations. These risks include, but are not limited to, the impact of seasonality and weather, global economic conditions and the level of consumer spending, the company's ability to capitalize on opportunities or grow its market share and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission.  Also on today's call, we will make comments referring to non-GAAP financial measures. We believe that the inclusion of these financial measures helps investors gaining a meaningful understanding of the changes in the company's core operating results. These metrics can also help investors who wish to make comparisons between MarineMax and other companies on both a GAAP and a non-GAAP basis. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is available in today's earnings release.  With that, let me turn the call over to Brett. Brett?
William McGill: Thank you, Mike. Good morning, everyone, and thanks for joining us. I'll start by recognizing the hard work of the outstanding MarineMax team. Despite a challenging retail environment, the team's dedication and resilience contributed to a very strong close to the first quarter and record revenue of more than $527 million. The December quarter is seasonally the smallest quarter of the year for us and for the industry. October finished a bit softer than expected, followed by even greater retail challenges in November. This was especially true for fiberglass boats of virtually all sizes as reflected in the industry data.  Creating the urgency to contract and close a purchase grew more challenging as the quarter evolved. We proactively created a sense of urgency by increasing the level of discounting on certain models. While these pricing incentives were successful in driving record revenue in December and in the quarter, they also resulted in lower gross margins and profit. A primary reason was that in many cases, we moved faster than our manufacturing partners and before receiving a broader level of incentive support. We did so to get ahead of the early boat shows in the spring selling season and to drive inventory to a more balanced position. Our actions improved our inventory, created more liquidity for growth and allowed us to grow our customer base and market share ahead of the Boat Show season.  Today, most of the manufacturers have adjusted their incentive programs. They are supporting the retail channel with seasonal marketing programs, including participation and support at the major boat shows. On the expense side, we're making progress in capturing additional cost synergies from acquisitions made over the past few years. We've also reduced resources, including team members in manufacturing and certain other areas of the business that do not directly impact the customer experience. Although our core operating expense profile is improving, we did incur increases in a few items like health insurance, which Mike will discuss.  Although boat margins adversely impact our overall results, our other businesses continued to perform relatively well, allowing gross margins to remain well above average on a historical basis. IGY saw a solid start on the Caribbean yachting season. Our super yacht operations, Fraser Northrop & Johnson performed on target. And although Intrepid and Cruisers Yachts are not immune to the short-term challenges facing the industry, those experienced teams are taking appropriate action to help ensure supply and production are aligned with demand. Additionally, both organizations continue to invest in new product development.  This month, we announced the planned acquisition of Williams Tenders USA. Williams is the sole distributor in the United States and the Caribbean for the leading brand of rigid inflatable jet tenders for the luxury yacht market. This transaction is consistent with a key component of our growth strategy to acquire high-quality businesses that improve our margin profile and deepen our customer relationships. Williams Jet Tenders are currently marketed in 20 locations across the United States. Over time, there is ample opportunity to increase the reach of the product and grow its revenue while staying true to the high level of service and experiences its customer base is accustomed to. The growth of the yacht and luxury yacht markets is a positive for our business and Williams is perfectly positioned to capitalize on such growth as well. We are looking forward to welcoming the Williams team to our operation once the transaction is completed.  I am also pleased to announce that we have launched a marine service technician apprenticeship program in Florida, which is an expansion of a program we started many years ago. Through this initiative, we hope to improve marine industry skill development and provide valuable opportunities for aspiring technician. We're grateful to the Florida Department of Education, which provided an initial grant to support the implementation of this program.  With weaker-than-expected retail activity, the focus on the digital investments we've made over the past few years, including world-class marketing tools as well as Boatyard and Boatzon enabled our successful push in the smallest month of the year, December. We believe that our investments will continue to allow us to take market share as we advance through the rest of this year. Our team continues to do an outstanding job keeping our customers happy. We have sold and delivered many thousands of boats over the years, and our team continues to rise to the challenge of providing excellent customer service.  Measured through Net Promoter Score, our customer surveys continue to produce record results. It's the proactive nature of the team and the culture at MarineMax, which allows us to win in the marketplace today and in the future. We will continue to invest in excellent customer service, which is the key to long-term growth.  And with that, I'll turn the call over to Mike for a financial recap. Mike?
Michael McLamb: Thank you, Brett. Before we discuss the financial details, I also want to thank our team, their hard work and commitment to help drive a strong close to the quarter. The quarter appeared to start on track but grew more sluggish for certain segments of the industry. We reached out to our various manufacturing partners about launching or enhancing more targeted and, in some cases, larger incentives to help stimulate more urgency and reasons to buy. As they work to develop their plans, we launched our own initiatives, which were quite successful in driving sales and reducing select inventory where desired.  Overall, we grew revenue 4% to $527 million, primarily from same-store sales growth. Our same-store sales growth was driven by a modest increase in units and the rest by an increase in our average unit selling price. We drove strong performance in both new and used boat sales right through the New Year's holiday, which is unusual, normally between seasonality and vacations, business drops off around the holidays. Gross profit was $175 million and gross margin was 33.3%. While we expected it would be down year-over-year, our actions to stimulate demand resulted in a larger decline. As Brett noted, most, if not all manufacturers have now increased our implemented programs for the boat show season.  SG&A expenses remained flat as a percentage of revenue. But when adding back unusual items noted in the reconciliation of adjusted net income, SG&A was modestly elevated. For the second consecutive quarter, the largest outlier was our health care costs, which were unusually high of over $3 million. Like most companies, we are self-insured, and we have had a number of unfortunate claims. The last time we had a spike of this magnitude occurred about 7 years ago, and as it did then, we expect this unusual spike to subside.  As Brett discussed, our focused centers on capturing additional synergies and enhancing the earnings potential embedded in the acquisitions we have completed over the past several years. One area of synergy is SG&A, where we believe we can generate further cost savings in areas that do not compromise the customer experience. Primarily, we are focused on streamlining and reducing the redundancy which can occur through mergers in areas such as accounting, payroll, vendor consolidation and other back-office activities. Our actions take some time to implement, but we are making great progress and are already seeing some of the early benefits.  Beyond SG&A, we are all developing processes to better able to sharing of best practices and information, which we believe will drive better overall performance. Interest expense increased primarily due to higher inventory, especially earlier in the quarter. Our floor plan interest in the quarter was over $10 million versus about $3 million last year. On the bottom line, GAAP net income was about $1 million or $0.04 per diluted share compared with net income of $20 million or $0.89 per diluted share last year. Adjusted net income was over $4 million or $0.19 per diluted share compared with adjusted net income of $27 million or $1.24 per diluted share last year. The year-over-year decline is primarily due to lower gross profit and higher floorplan interest expense.  Adjusted EBITDA for the quarter was about $27 million compared with $53 million last year. Moving on to the balance sheet, we ended the quarter with more than $210 million in cash. Inventories increased to $876 million, which, as expected, was up modestly from September. On a same-store basis, unit inventories are over 20% below 2019 levels. Looking at liabilities, our short-term borrowings, which is our floor plan financing, were up primarily due to increased inventories and the timing of payments. Customer deposits modestly decreased from the September quarter as expected, but on a historical basis, customer deposits remain in a good position as we head into the seasonal selling period. Our liquidity position remains strong. At quarter end, debt to EBITDA net of cash was less than 1, and we have additional liquidity in the form of unlevered inventory plus available lines of credit that totaled close to $200 million.  Turning to guidance based on our year-to-date results, we are adjusting our 2024 guidance. I will comment first on our thoughts regarding industry unit trends for our fiscal year. Consistent with our commentary last quarter, the year-over-year unit trends are relatively easy comparisons in terms of the industry's ability to post either unit growth or a minimal decline. Granted the consumer is making it clear that incentives and urgency help to facilitate retail activity similar to historical years, especially when the industry inventory is elevated for many segments. Assuming no significant economic downturn, but also no major improvements, we continue to believe the industry will be flattish to up slightly on a unit basis in our fiscal year.  Based on our industry unit expectation and our results to date, we continue to expect low to mid-single-digit same-store sales growth in 2024. We are seeing increased discounting in the industry and the industry product margins are moderating to prepandemic levels. While our profitability was below our expectations this quarter, we continued to reach the long-term benefits of our higher-margin strategy and are confident in our ability to maintain consolidated margins in the low to mid-30s.  Thinking ahead, it's worth noting that in the March 2023 quarter, we had lower interest costs driven by lower rates and lower inventory than we will have this quarter. Factoring all this in, we now expect our adjusted net income per share to be in the range of $3.20 to $3.70 for fiscal 2024 with adjusted EBITDA to be in the range of $190 million to $215 million. We are using an annual expected tax rate of approximately 27% and a share count of 23.1 million in our assumptions.  Looking at current trends, with the seasonally smallest quarter of the year behind us, we are cautiously encouraged by the reasonably strong start to the winter boat show season. Today, January looks like it will finish with positive same-store sales growth, but the team still has a fair amount of work to do.  With that, I'll turn the call back over to Brett for closing comments. Brett?
William McGill: Thank you, Mike. Although we have reset our expectations for 2024, we remain well positioned to execute on our growth priorities in the year ahead. We continue to build the business for the long term, serving the growing demand for the boating lifestyle by providing customers with the best products, services and experiences. Our healthy balance sheet and strong cash position provides us with the financial flexibility and capital resources to meet the needs of this dynamic industry in 2024 and beyond.  And with that, operator, please open up the line for questions.
Operator: [Operator Instructions]. Our first question is from James Hardiman with Citi.
James Hardiman: So I just want to compare just to level set here, the guidance this time around versus last time seems like the big adjustment is gross margin. I think you said mid-30s last time, and now you're saying low to mid-30s. And then is there any change in how should we think about SG&A and then the product manufacturing? I guess those are sort of 3 things. I just want to make sure that we're all on the same page in terms of where we were and where we are.
Michael McLamb: Yes, James, good question. The biggest change is the margin change going to the low to mid-30s, just given the results of our December quarter, while we're optimistic with our partnering with our manufacturers and how the rest of the year will play out. I think we're level-setting margins, and we'll update you as we go out throughout the year. But no real change on the SG&A line. We're not baking in meaningful savings from the operations that we're looking at in terms of reducing costs and all that stuff, not yet, not until it flows through and no real changes to the interest line either, other than my comment, the March quarter will have higher interest expense on a year-over-year basis.
James Hardiman: Got it. And then just maybe help us understand. I think I get how the first quarter went. Obviously, I think as you guys mentioned, October finished a little softer and then November was weak. And so you ramped up your promo in December. That seems to have worked, the commentary on December and January seem pretty positive. It seems like you're getting the help from the manufacturers. I guess maybe help us understand then the guide down in margin for the remainder of the year. I get 1Q, but it generally sounds like a more sort of pessimistic view of what it's going to require moving forward, even though the commentary towards the end of the first quarter, at least seem pretty constructive.
Michael McLamb: I think what we're seeing is we're seeing more discounting out there. I think the industry inventory is higher. I think that's being reflected by everybody in the industry. We hope we're being conservative on the margin line, time will ultimately tell. The way 2023 margins played out, and this is kind of important, so -- so the December quarter, if you go back to my commentary, each of the quarters last year, the December quarter would have had the highest product margin quarter out of the 4. March would have been a little bit elevated still, June was getting closer to pre-pandemic levels, but still elevated. And on the September call, I said that margins are pretty much back to pre-pandemic level as we left the year. And so we did just leave the toughest comparison, which we recognize. But I think just given with where the inventory is in the industry, we hope to be able to update you with betterness, but we think the guidance numbers make sense at this point until we get out there and show otherwise.
James Hardiman: Got it. And just to clarify to the point about inventory. You feel like your inventory is in good shape. But -- and maybe even better than sort of what you expected at this point in time, but it's more competing with other dealers that you feel like have elevated inventories, which is why the need to promote is there?
William McGill: James, I'll jump in, this is Brett. Yes, I think our inventory is lining up how we want it to go. We got work to do. So that's part of the equation. And then the second part is what's the competitive landscape look like as people, as competitors rightsize their inventory. So that's kind of the 2 parts of that equation. Ours isn't where I think we want it yet. but we're getting it there.
Michael McLamb: As we said last call, we've got segments within our inventory, just like you can rebuy, you can read in the industry about the segments that are heavier. We have more in some of those same segments, but they made good progress in the December quarter, for sure.
Operator: Our next question is from Drew Crum with Stifel.
Andrew Crum: I wonder if you could comment on what you're seeing or hearing in your stores or some of the recent boat shows around how interest rate cuts or the potential of interest rate cuts could impact purchase intent on the part of your consumer? And then I have a follow-up.
William McGill: Yes, Drew, I think like we've commented with interest rates, really the biggest effect we saw is when rates climbed so quickly. It kind of shocked people, but then once they kind of moderated and people got used to it, that calm things down because I think like Mike's always commented that people are optimistic and think, hey, when rates are way down or refinanced. So I think people looking out there and saying rates are starting to go down, maybe it gave us a little tailwind, but I'm not sure that was any of the reasons why directly that we're hearing from anybody.
Michael McLamb: Drew, I'll comment that retail rates, which are generally tied to, depending on the financial institution, the 10-year note or the 5-year note. So retail rates have dropped as you read with any other environment, which is net-net a benefit, right? So that's helpful. Yes, it's helpful as positive.
Andrew Crum: Got it. Okay. And then just a follow-up to that. Can you comment on what you saw in terms of performance for premium versus value brands at your stores during the quarter? I think there's been this kind of ongoing narrative or observation that premium has outperformed value over the last several periods. What did you see in the quarter? And how did premium perform relative to your expectations?
Michael McLamb: I can comment consistent that premium is performing better. I mean -- when you look at the industry, October, November and December, so October was up from an industry perspective. November was actually down a little bit and December was down a little bit more. If you unpack that, fiberglass boat sales in November and December were down about double digit, 9% or 10%. And if you unpack that further within that, based on some of the data we've looked at, the premium business did better than the entry-level business, if you will, the value business. So I think that thesis continues, and that's always been we've seen through all the different cycles and all the different years we've been doing this.
William McGill: Yes. And I think to add to that, I think that the premium segment is holding up well, but people need discounting there like we said in our comments that they're needing that incentive to create the urgency, but they're still active buyers.
Operator: Our next question is from Joe Altobello with Raymond James.
Joseph Altobello: Brett, I just wanted to go back to that comment you just made about incentivizing buyers. It seemed like things kind of went sideways in November which is usually a small one for both retail anyway. So how do we know if this is not just normal seasonality coming back rather than any shift in demand?
William McGill: Yes. I think typically the way a quarter lays out is November is smaller than October and December smaller than November, but we had to reverse around clearly seasonality weighs in on it to create some urgency for people to get moving a boat now. But I think just the market, people are looking for incentives to make a move because there were so many years of not having it and you're seeing it out in the marketplace. Mike, do you want to add anything?
Michael McLamb: Yes, I think the point is it's a good point. It's like when you look at even the industry data comments that I made about it being down double digit, is it -- how much of that is seasonality? How much of that is funk in the marketplace, if you will, economic issues, how much of it is the need for urgency? I don't think we know those answers right now, Joe. I know it's pretty clear, people want to get into boat, you can see from our results that we drove positive same-store sales growth, including unit growth in a quarter. Granted, it cost us a little bit of margin, but people are happy with the product.
Joseph Altobello: Okay. Got it. And you also mentioned that you were pleased with the support that you're seeing from your manufacturing partners. Would you expect to continue to see that support and maybe even greater support into the spring and summer selling season?
William McGill: Yes. Our manufacturers have really stepped up. I kind of always have. I think we just got really proactive in the quarter in December. We wanted to not wait and see what happened, but make a move. And -- but all of our manufacturers, we work really closely with, and they're working with us to see what they can do to help.
Michael McLamb: In fairness, the December quarter is usually not one. And specifically November and December is usually not one where the manufacturers are -- they're not normally thinking to launch an incentive then. So when we went to them and said, "Hey, just given what we're seeing at retail, we can certainly use some of your support." And they did all they could in a quick period of time, but just not as much as we would have wanted them to do in many cases and certainly not what they're doing today. The rest of the season is when there's typically some type of reason to buy in the industry, and that's what we're seeing now.
Joseph Altobello: Okay. Just one last one, if I could. You mentioned that there are some categories that are heavy on inventory in the industry. I mean we've heard skiway is a little bit heavy. Are there other categories where there's a little bit too much supply?
Michael McLamb: You touched on skiway.
William McGill: Yes. I think the rest of the categories, it's probably a model-by-model or size basis, it'd be too hard to categorize it.
Michael McLamb: Aluminum pontoons, products like that it's probably a little heavy still, although it's cleaning up relatively fast. And actually, the industry is cleaning up relatively fast. I do want to state that the manufacturers, there's a lot of them that are public now and you can see what they've done, the dealers are trying to order the right level of product, which I think everybody is. I think while inventories are still elevated, the manufacturers are doing a great job bringing down production. So the outlook for the industry, if you talk to the folks who finance the inventory in the industry, they all feel pretty good about where inventories will be as we get through March and maybe even into the June quarter, inventories will continue to come in line. The amount of product being shipped to dealers is much, much lower than it was originally forecasted to be.
Operator: Our next question is from Mike Swartz with Truist Securities.
Michael Swartz: Just to clarify something, I think you've talked about a number of times, which was the -- maybe the timing difference between when you decided to go to market with some incentives and promotions relative to when the OEMs stepped in. Is that another way of saying that you expect the first quarter to be the lowest margin quarter of the year just from a new boat perspective? Is that how we should read that?
Michael McLamb: Yes, I would have to -- let me just think through all the quarters. I think that's probably accurate, because we went at it alone, Mike, so yes, that makes sense. But keep in mind the comparison that I said, the December quarter, we were up against our toughest product comparison, if you will. The March quarter is a little tougher than the June quarter. The June quarter is a little tougher than the September quarter. It kind of gets easier as we got through the year.
Michael Swartz: Okay. That's great. And then just a second question is just on interest rates back jumping on top of Drew's question. Another way to look at it, I mean -- and maybe during historical cycles, when we've seen rates being cut, I guess how does the consumer go about that? I mean if I'm a consumer and I think rates are going to be lower in 3, 4, 5 months, what's my incentive to buy today? I mean is there some aspect of this where we could see consumers dragging their feet until the fall or spring of next year?
Michael McLamb: I'm trying to think through different cycles where we've had declining rates. I think we know what happens in rising rates and declining rates. Sure, I would -- I think I'd answer that by saying there's some subsegment of the population that probably is going to be thinking about that. But I think if we get that person in front of our sales team, our sales team will explain the benefits of boating, the benefits of the product, getting out there with your family, and I think our sales team will help the consumer make a decision today to buy the product.
Michael Swartz: Okay. And then just final one for me, real quick. I think this year, you've either attended some boat shows that you hadn't last year or you have a larger presence at this year. I'm just wondering, is there a way to think about the incremental costs in SG&A related to that, I guess, is that baked into your commentary that you don't expect any real improvement in SG&A as we go through the year?
William McGill: Yes. I think that there's some additional shows we're attending. There are some that are kind of flat, maybe it will spend a little less. But overall, I mean, some of what we did in the first quarter was spent hard on marketing, too, to drive some of that, not just incentives. But -- so yes, there are some boat shows that are a little more costly, the timing of when those land and costs get in there can affect things, for sure.
Operator: Our next question is from Fred Wightman with Wolfe Research.
Frederick Wightman: I just wanted to come back to the December inflection. I think Mike, you made a comment in your prepared remarks talking about fiberglass clients were sort of broad-based when you saw that softer October and November performance. I'm wondering if that recovery was similarly broad-based in December or if it was a little bit more segment-specific.
Michael McLamb: No, we did a very good job driving a very, very, very strong December, that was broad-based through the means that we talked about on the call. So yes, it was very broad-based. It wasn't tied to any one specific segment.
Frederick Wightman: Yes. And then just coming back to the inventory. You, guys, have both made comments about how quickly OEMs cut production. But when you look at the amount of inventory, which you've said is still elevated at sort of an industry level, is there anything unusual or concerning just about the age of that inventory? Is there a lot of noncurrent product out there just given the fact that OEMs pulled back and what is sort of the outlook for pricing as a result of that sort of model year mix?
William McGill: We feel like we're managing our aged inventory in a pretty good way as reflected in the Q1 results here. But some of that equation that we're baking into the guidance for the year, I think take -- we're kind of wondering the same thing, what's the competitive landscape look like for age? And how will that affect us from competitive incentives?
Michael McLamb: It seems like there's a couple of segments that we mentioned, Fred, would have the higher noncurrent percentages because those manufacturers have really cut down production. So -- but to Brett's point, we feel pretty good about our noncurrent position.
Operator: Our next question is from John Healy with Northcoast Research.
John Healy: I just want to ask a follow-up question on the gross margin outlook for the year. If you look at Q1 and you think about Q2, I just want to make sure I heard right that, you're thinking Q1 is probably the low point of the year. But that's a function of the manufacturer stepping in and giving you dollar support to kind of soften that blow. Did I hear that right? And can you talk to what level of support are you getting from the manufacturers compared to maybe previous time frames when this digestion period is going on?
Michael McLamb: I think you heard the margin question, right, about the first quarter versus other quarters. The support that we're getting from the manufacturers in some -- it kind of depends by manufacturer by segment, by model. In some cases, it's right back at historical percentages of invoices. In some cases, it's not there yet, but it's made good progress. I think in all cases, it's helping to drive retail activity.
John Healy: Got it. I just wanted to ask a question just on you're seeing in the market means to how you respond to kind of going into next year, really. When you look at the landscape with margins kind of correcting in the industry, I have to imagine there's going to be some competitors of yours that are not as well positioned to kind of deal with that as you guys are. Do you see yourself kind of creating a playbook for more aggressive M&A plans, dealer consolidation? Kind of now that this process is starting or is it too early to think that, that would be something you guys start to tinker with?
William McGill: I think we're always keeping our eye on any of those type of opportunities that come up. I mean, of course, you would think that dealers that aren't well capitalized could pop -- if they're not set up right and they'll definitely struggle a little more than others, and that could create some opportunities for us. So we're definitely looking at that, but nothing right at the moment.
Operator: Our next question is from Eric Wold with B. Riley Securities.
Eric Wold: A couple of questions. I guess, one, just following up on margins, kind of thinking about the other businesses other than new and used boat sales, what are your thoughts on pricing power if we get into a lower rate environments later this year and the next year in terms of ability to drive margins there to help essentially offset core margin pressure.
Michael McLamb: If I understand you right, like Eric, like in terms of like slip revenue, service revenue, all of that, I think.
Eric Wold: I think, management alike that hopefully.
Michael McLamb: Yes, I think we have reasonable pricing power there. I think while we've expanded the higher-margin businesses, right? I think that we ended last year with roughly 25% of our revenues coming from non-boat sales, and that means 75% came from boat sales, and that's generally true heading into 2024, the boat margins of the business still can weigh heavily on the overall gross margins of the business. The operating margins obviously have improved nicely. They were improved nicely last year and are projected to be improved nicely this year, but so the pricing pressure helps. It helps to offset it, I guess, to answer your question.
Eric Wold: Got it. Okay. And then on the boat shows, obviously, making the comment that you're seeing some positive kind of indications so far, maybe unpack that a little bit in terms of what are you seeing from those reads in terms of leads coming out of the shows sales cycles to complete something, kind of what -- obviously, demand, I guess margins are being pressured by the need for promotions and kind of buyers looking for incentives. But kind of what are you seeing from that that's kind of giving you at least some optimism on more of the consumer lands?
William McGill: Yes. I mean the shows are tougher. I mean they're not what they were over the last -- just the -- but demand is still good. It's just people entering at the higher in the funnel. So it's taken more work, taking longer to get them there. Incentives, we hate to talk about it. I mean, but it's -- people are needing an urgency. It's not just an urgency. There's probably a feeling in their minds of prices were at the top, is it adjusted down a little bit. And so that creates the business there.  But I'll tell you, we come out of the shows. We measure it in a very detailed way. We know how many leads we got our follow-ups at the weekend, events at our stores after the show have proven to be very productive. So like Mike has said, the consumers are still wanting to go boating. We haven't seen that in many -- over our 25-plus years here doing this, we've seen when there's no demand. We know what that feels like. That's not what we're seeing here. There's just -- we've got to navigate some of the ins and outs here of what's going on.
Operator: Our next question is from Brandon Rollé with D.A. Davidson.
Brandon Rollé: Just a couple of quick ones on guidance. One, what gives you confidence you've properly reset guidance for the remainder of the year? And two, does your guidance bake in any improvement within retail fundamentals throughout the rest of the year? Or is this kind of a reset saying what we saw throughout the first quarter continues throughout the remainder of the year?
Michael McLamb: Thank you, Brandon. Good questions. Our retail outlook is kind of what I walked through on the call, which we think the industry is up against generally easy comparisons on a unit basis month-over-month. And actually, if you look at the unit growth we drove in a negative quarter with any break or with any luck from an industry perspective, I think our unit growth still stands, and we'll have positive same-store sales growth.  On the guidance side, we believe that we've lowered guidance low enough given what we know today, that should hopefully give us an opportunity to come back and talk to you guys about better performance like every company hopes. But time will tell ultimately, but we think around the margins, which was probably the risk area, we've lowered that far enough to some of the questions that we're asked today.
William McGill: Yes, it's not baking in any upswings or anything like that.
Brandon Rollé: Okay. Great. And just one last one. On your inventory, I think you had said you were about 20% below 2019 levels. Could you talk about where that inventory is on a dollar basis? And maybe where ASPs go from here from speaking with your OEMs about affordability and obviously, the customers looking for better pricing?
Michael McLamb: Yes, I can make a quick comment. Yes, units are well below on a same-store basis, dollars are going to be well above, which -- there's a couple of things driving that. One is the price increasing that every industry has seen in the last several years. The second thing is, is that we're generally carrying larger and larger product even within a brand. The brands are building larger product. Customers want the larger product, et cetera. So plus like engine horsepower is much higher today than it was in 2019 and which drives costs up. So average unit selling price is up primarily because of mix within the industry. So hopefully, that answers your questions, Brandon.
Operator: Our next question is from David MacGregor with Longbow Research.
David MacGregor: A lot of my questions are asked so far, but let me ask you about the composition of the 350 basis points of gross margin decline. How much of that is a function of acquisitions and sort of other factors than say, the promotional programs you can discuss it so far?
Michael McLamb: Great question. It's all going to be -- and I'm doing this from memory right now. It's all going to be really new and used boat margin-driven. And also probably a little bit of mixed business within that. When you drive positive same-store sales growth, like we did versus negative last year, the other higher-margin businesses shrink as a percentage of the revenue a little bit. It's hard for them to keep up. And so your margin gets impacted by the mix shift. And that's comparing it to the December quarter last year. And I don't recall if there's anything -- I don't think there was anything really unusual in the December quarter last year that would have drove margins higher other than product margins.
David MacGregor: Okay. And then secondly, Mike, just asking on inventories here. And obviously, things have changed. In the previous question, you talked about the change in the mix versus 2019 levels and engine horsepower is up and everything else that's going on. So help us just understand as we think through inventory, what is the right level in terms of days or turns or however you want to talk about that?
Michael McLamb: I could comment. I don't think the industry's turns have ever been attractive until maybe the last couple of years. The industry historically used to be less than 2x turns. For ever and ever and ever, we were typically 2.5 to 3x turns. We really -- in the industry right now is heavy in inventory. So a lot of people are back to historical turns. But getting back to where we used to be and above that is, I think, where the industry needs to be focused. And when we talk to our manufacturing partners, everybody really for the first time, was able to see the benefits of a faster-turning inventory industry last year, and all of our manufacturing partners are -- they aim to keep the industry at a higher level, but they missed it because the industry ended last year a little too heavy. So we're in a correction period now. But I think when we get through this, we're going to hopefully have an industry that has higher turns than it used to have, David. Long-winded way to say, it needs to improve from where it used to be.
David MacGregor: Yes. So 2.5 to 3x, that was the number I'm hearing from you in 2 years.
Michael McLamb: That's where we would -- I mean, honestly, that's where we used to operate. We would love to operate better than that, but we need to get there, right?
Operator: Our next question is a follow-up from Mike Swartz with Truist Securities.
Michael Swartz: I just wanted to flip one last one in. With regards to the Williams Tenders business. I guess, one, is that now embedded in guidance? And then two, any way to frame how large or how material that business is to revenue or earnings?
Michael McLamb: Great question on that. I know we talked a little bit about on the call. It is not in our guidance. We don't put acquisitions in our guidance until they actually close. And we'll give everybody a little more color on it once it's closed. It is accretive. It will be accretive in our fiscal year. The -- anymore, Mike, with our size, there really isn't anyone we can buy that's really raw material from a revenue perspective, but it's a great strategic company that has great leadership that ties in nicely to all of our businesses, but especially the superyacht business. So we're happy and look forward to welcoming the Williams team to the MarineMax team.
Operator: And our next question is a follow-up from Joe Altobello with Raymond James.
Joseph Altobello: A quick question on IGY. What's the contribution you're expecting from that business within your EBITDA guide?
Michael McLamb: Well, it's the contribution that we're expecting from that business within the EBITDA guide, not a whole lot different than last year, Joe. I don't -- there isn't -- I mean, IGY's growing. They're working on different acquisitions. We haven't -- because we're anniversarying that now, there's going to be incremental improvements for what it would have been last year.
Joseph Altobello: Okay. So is it roughly 20% of the fiscal '24 guide?
Michael McLamb: Is it roughly 20% of the guide? It's in that range, and maybe a little below that range. I'd have to look at that specifically, Joe, I don't have that in front of you right now.
Operator: There are no more questions at this time. I would now like to turn the floor over to Mr. McGill for closing comments.
William McGill: We really appreciate all the great questions and everybody joining the call today. If anybody happens to be at the Miami Boat Show, stop by. We'd love to show you some of our great new products. But thank you for joining us today.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.